Operator: Good afternoon, and welcome to Savers Value Village conference call to discuss financial results for the fourth quarter ending January 3, 2026. [Operator Instructions]. Please note that this call is being recorded, and a replay of this call and related materials will be available on the company's Investor Relations website. The comments made during this call and the Q&A that follows are copyrighted by the company and cannot be reproduced without written authorization from the company. Certain comments made during this call may constitute forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from expectations or historical performance. Please review the disclosure on forward-looking statements, including in the company's earnings release and filings with the SEC for a discussion of these risks and uncertainties. Please be advised that statements are current only as of the date of this call. And while the company may choose to update these statements in the future, it is under no obligation to do so unless required by applicable law or regulation. The company may also discuss certain non-GAAP financial measures. A reconciliation of each of the historical non-GAAP measures to the most directly comparable GAAP financial measure can be found in today's earnings release and SEC filings. Joining from management on today's call are Mark Walsh, Chief Executive Officer; Jubran Tanious, President and Chief Operating Officer; Michael Maher, Chief Financial Officer; and Ed Yruma, Vice President of Investor Relations and Treasury. Mr. Walsh, you may go ahead, sir.
Mark Walsh: Thank you, and good afternoon, everyone. We appreciate you joining us today. We are very pleased with our fourth quarter results. We delivered our anticipated inflection in earnings, posting our first quarter of year-over-year adjusted EBITDA growth in nearly 2 years, supported by profit contribution gains in both countries. We are also thrilled with the momentum in the U.S., where thrift adoption continues to accelerate and strength remains broad-based across categories and regions. Before we look towards the compelling growth opportunities ahead, let me start with a few highlights from the quarter. Sales in our U.S. business grew 20.6%, or 12.6% when excluding the benefit of the 53rd week, with comps up 8.8%, driven by both transactions and average basket. We attribute this performance to accelerating consumer adoption of thrift and stellar execution by our team, delivering compelling value to consumers. In Canada, our sales trends have stabilized with a 0.7% comp during the quarter. As we take a conservative approach to planning our business in Canada, we have tightly managed production levels, helping us drive year-over-year segment profit growth. We opened 10 new stores in the quarter, finishing the year with 26 openings. As a class, our new stores continue to perform in line with our expectations. We remain confident in our long-term store growth opportunity and a targeted 20% store level contribution margin. Financially, we generated over $74 million of adjusted EBITDA in the quarter or 15.9% of sales. Looking at our loyalty program, we have 6.1 million total active members. As it relates to pricing, we are monitoring trends closely. We feel very good about our competitive positioning and value gaps as new clothing and footwear prices continue to increase in the U.S. Finally, we are pleased to announce our outlook for 2026, and Michael will provide further additional details on our outlook in his remarks. Turning to our results by geography. The U.S. business continues to shine. Our 8.8% comp was driven largely by mature stores with minimal contribution from new stores that are only now beginning to enter the comp base. We are also seeing our customer base continue to skew younger and more affluent. As we shared at ICR, based on our loyalty program data, roughly 40% of our U.S. shoppers are under the age of 45 and about 45% of the household income above $100,000. These trends reinforce the powerful secular shift towards thrift in the U.S. At the same time, attractive real estate opportunities supported by our off-site processing capabilities continue to strengthen our confidence in the long runway for disciplined square footage expansion. In Canada, macro conditions remain largely unchanged. And with a mature market, we continue to plan the business conservatively, which is reflected in the modest growth we saw again this quarter. That said, trends have stabilized and our disciplined approach to managing production allowed us to grow our Canadian segment profit during the quarter. As we significantly slow new store openings and focus on operating more efficiently, we expect margin expansion in Canada and for our Canadian business to continue to be a meaningful contributor to free cash flow. Moving on to new stores. We continue to be pleased with the results, and they are performing in line with our expectations. As I previously noted, our inflection in profitability was in large part driven by the on-plan maturation of new stores, and we believe we can expand our store fleet in the U.S. at current rates over the years to come. We opened 10 new stores during the quarter, bringing our total to 26 new store openings for 2025. For 2026, we are planning to open around 25 new stores. And as a reminder, we're expecting over 20 of those openings will be in the U.S., including expansion in new markets in North Carolina and Tennessee. To this end, we are pleased to be planning store openings across 11 states and a nice mix of infill and new markets. Store growth remains the highest return and most important use of our capital, and we are excited to bring our value offering to more consumers. Shifting now to innovation, which remains a core part of Savers' DNA. At ICR, we introduced ABP Lite, an asset-light extension of our automated book processing or ABP system. We expect returns comparable to our existing ABP system, and we expect that ABP Lite can bring capabilities to roughly 85% of the fleet by the end of the second quarter. We are also investing in proven in-store efficiency initiatives to help offset cost inflation, including autonomous floor scrubbers and AI-enabled HVAC integration. Our innovation agenda continues to focus on 3 key areas: strengthening our price value equation, driving efficiency and cost reduction, and lastly, expanding our data science and business insights. I look forward to sharing more in future quarters. I would like to close by reflecting on another year of meaningful progress since our IPO. At ICR, we outlined 3 strategic pillars for long-term value creation: growth, innovation and capital allocation. In 2025, we made meaningful progress on all 3 of these pillars. Our new stores are maturing as expected and help drive our inflection point with a return to growth in both segment contribution and enterprise adjusted EBITDA. We also continue to advance our innovation agenda, sharpening our price value equation and driving labor efficiency with the initiatives I mentioned earlier a strong example. And we put in place a new capital structure that reduces annual interest expense by $17 million and provides flexibility for continued debt reduction. I'm incredibly proud of the execution from our nearly 24,000 team members and grateful for all of their hard work throughout 2025. Their efforts strengthen our business and helped us deliver on our commitments to shareholders. We are as energized as ever to continue expanding our footprint and bringing our value proposition to more consumers as thrift adoption grows. Our mission is to make secondhand second nature, and we believe that we are well positioned for continued success. I'll now hand the call over to Michael to discuss our fourth quarter financial performance and the outlook for 2026.
Michael Maher: Thank you, Mark, and good afternoon, everyone. As Mark indicated, we had a strong fourth quarter. Total net sales increased 15.6% to $465 million. Excluding the benefit of the 53rd week, total net sales increased 8.4%. On a constant currency basis, net sales also increased 8.4% and comparable store sales increased 5.4%. We are especially pleased with our sales results in the U.S., where net sales increased 20.6% to $266 million. Excluding the benefit of the 53rd week, net sales increased 12.6%. Comparable store sales increased 8.8%, fueled by both transactions and average basket with broad-based gains across categories and regions. We believe we're still in the early innings of thrift adoption in the U.S. and are eager to accelerate expansion in markets where we are significantly underpenetrated. We also saw stability in Canada, where net sales increased 9.1% or 3.1% when excluding the benefit of the 53rd week. On a constant currency basis, Canadian net sales increased 3% to $156 million and comparable store sales increased 0.7%, driven by an increase in average basket. In the near term, we do not assume any material improvement in the Canadian economy, and as such, we'll be planning our Canadian business conservatively. However, as Mark mentioned, we do believe that we can still expand segment margins and grow profit contribution even with roughly flat comps through strong execution, efficiency gains and the continued maturation of our new stores. We will also significantly decelerate store openings in Canada, which will provide a benefit to segment margins. Cost of merchandise sold as a percentage of net sales increased 30 basis points to 44.6% due to the impact of new stores, partially offset by comp leverage and associated growth in on-site donations. Salaries, wages and benefits expense was $93 million. Excluding IPO-related stock-based compensation, salaries, wages and benefits as a percentage of net sales increased 90 basis points to 19.2%. The increase was driven primarily by new store growth, an increase in annual incentive plan expense and higher wage rates. Selling, general and administrative expenses increased 8% to $99 million, primarily due to growth in our store base. However, as a percentage of net sales, SG&A decreased 150 basis points to 21.4%. Excluding impairment and contingent consideration charges in the prior year, SG&A as a percentage of net sales was roughly flat. Depreciation and amortization increased 32% to $22 million, reflecting investments in new stores, the impact of the extra week and accelerated depreciation on 7 stores that we closed during the quarter. Net interest expense decreased 8% to $14 million, primarily due to the impact of our recent debt refinancing, partially offset by the impact of the extra week. GAAP net income for the quarter was $22 million or $0.14 per diluted share. Adjusted net income was $24 million or $0.15 per diluted share. Fourth quarter adjusted EBITDA was $74 million, and adjusted EBITDA margin was 15.9%. U.S. segment profit was $60 million, an increase of $11 million, primarily due to increased profit from our comparable stores and new store productivity progression. Canada segment profit was $43 million or up $4 million due to favorable comparable store and new store performance. This acceleration of profit growth in both countries reflects the fact that new stores continue to perform in line with our expectations and mature on schedule as their contribution ramps. Our balance sheet remains strong with $86 million in cash and cash equivalents and a net leverage ratio of 2.5x at the end of the quarter. As previously announced, we repaid $20 million of debt during the quarter and also repurchased 1.1 million shares at a weighted average price of $8.75. This speaks to the power of our model, which enables us to organically fund new store growth, repay debt and repurchase shares, consistent with our capital allocation strategy. Our strong cash flow generation will enable us to further deleverage our business as we target a net leverage ratio of under 2x within the next couple of years. I'd like to now turn to our guidance and discuss our outlook for fiscal 2026, which we believe reflects the momentum in our business as well as an inflection in our earnings. I'll start by providing some important context for our outlook. First, we're at an inflection in our long-term growth strategy, and we're expecting adjusted EBITDA growth in 2026 with roughly flat adjusted EBITDA margins. This reflects the continued maturation of our new stores, some of which are now entering their third year of operations. As we build our pipeline over the next few years, we expect continued improvements in profitability with a long-term target of high teens adjusted EBITDA margins. Second, adjusted EBITDA and EBITDA margins continue to reflect significant preopening expenses, which we estimate will be approximately $14 million to $16 million in 2026, consistent with 2025. We've made good progress on the consistency and flow of our real estate pipeline. We expect new store openings to be reasonably balanced between the first and second half of the year, with most occurring in the second and third quarters, whereas 2025 openings were concentrated in the third and fourth quarters. As a result, preopening expenses will be more front-loaded than last year. Next, consistent with our long-term financial algorithm, we're taking a conservative approach to planning comparable store sales growth, assuming mid-single-digit comp performance in the U.S. and flat to low single-digit comps in Canada. We are assuming no material change in the U.S. or Canadian economies in 2026. We expect modest improvement in gross profit margins as new store headwinds abate and we continue to drive efficiencies in store and off-site processing. We also expect modest operating expense leverage as our IPO-related stock-based compensation will fully run off by the end of the first half of 2026. We expect to recognize approximately $8 million of IPO-related stock-based compensation expense evenly split between Q1 and Q2 of 2026. Excluding noncash items, we expect slight operating expense deleverage due to new stores, roughly offsetting gross margin expansion. As it relates to Canada, our outlook for 2026 is based on an estimated exchange rate of USD 0.72 per Canadian dollar. Also, in 2026, we will be lapping a 53-week fiscal year that will be approximately a 2% headwind to total sales growth. There's no impact on net income, adjusted net income or adjusted EBITDA. Additionally, there's no impact on comparable store sales growth, which is reported on a like-for-like 52-week basis. With that context in mind, our full year outlook for 2026 includes the following: net sales of $1.76 billion to $1.79 billion; comparable store sales growth of 2.5% to 4%; net income of $66 million to $78 million or $0.41 to $0.48 per diluted share; adjusted net income of $73 million to $85 million or $0.45 to $0.53 per diluted share; adjusted EBITDA of $260 million to $275 million; capital expenditures of $125 million to $145 million; and roughly 25 new store openings. Our outlook for net income assumes net interest expense of approximately $50 million and an effective tax rate of approximately 28%. For adjusted net income, we're assuming an effective tax rate of approximately 27%. We are projecting weighted average diluted shares outstanding to be approximately 163 million for the full year. This does not contemplate any potential future share repurchases. Finally, I'd like to briefly touch on our expectations for the first quarter, which is our smallest in terms of both revenue and adjusted EBITDA due to normal seasonal patterns. Q1 has limited new store openings and reflects the impact of an earlier Easter, including store closures in Canada on Good Friday. And as previously noted, preopening expenses will be higher in Q1 this year than last year. Based on these factors, we expect mid- to high single-digit total revenue growth in the first quarter with adjusted EBITDA roughly flat to slightly up compared with last year. We also expect the cadence of earnings through the balance of the year to resemble 2025. This concludes our prepared remarks. We would now like to open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from Matthew Boss of JPMorgan.
Matthew Boss: Congrats on a nice quarter. So Mark, could you speak to the progression of same-store sales that you've seen post holidays in the U.S., just maybe relative to the momentum that you saw in the fourth quarter? How best to think about comp trends in the first quarter relative to the mid-single-digit guide in the U.S. for the year?
Michael Maher: Matt, it's Michael. I'll go ahead and take that. So yes, we have continued to see, for the quarter, good momentum in the U.S. Certainly choppy, you're aware of the significant storm there towards the end of January. That definitely disrupted our business in the U.S. We saw similarly severe weather in Canada in January. But thus far, we've seen a nice rebound in February. So for the quarter-to-date, we're continuing to see strength in the U.S., and Canada remains up slightly. So essentially feel good about that relative to the directional guide we've given for Q1.
Matthew Boss: Great. And then maybe just a follow-up on stores. So with the acceleration in the pace of new store growth in the U.S. for this year, could you elaborate on new store productivity, maybe what you're seeing, and just expected returns on new stores in the U.S.
Michael Maher: Yes. So we continue to be very pleased. New stores progressing in line with our expectations. Really no change there, Matt. I think we've outlined now the overall new store economics averaging around $3 million in sales in the first year, ramping up to around $5 million by the fifth year, again, unprofitable in that first year, but typically breakeven or better by year 2 and something close to 20% contribution margin by year 5. So nothing in the recent openings has changed our view on that. Continue to feel good about that.
Operator: Your next question comes from Brooke Roach of Goldman Sachs.
Brooke Roach: What are your latest thoughts on pricing, particularly as the industry has raised prices in recent months? Are you seeing any opportunities to lean into specific areas of market share gains by letting price gaps widen in specific categories? And is this driving additional trade-down customer traffic to your stores, particularly in the U.S.?
Mark Walsh: Thanks, Brooke. Look, I think as we've talked about in the past, we continually monitor our pricing relative to competition. And obviously, our core objective is to deliver a compelling price value relationship. If others do raise price, we do think it's an opportunity for us to gain share, absolutely. But we also target price increases to aggregate a little under inflation, which 2025 is a good example. We do think we're gaining some share with what is a small but growing price differential relative to what we see in discount retail.
Brooke Roach: And then just as a follow-up, Michael, can you help us walk through the puts and takes of the inflection back to gross profit margin expansion that you expect in 2026? Are there any other particular geographical or comp considerations on that, that we should be considering?
Michael Maher: Brooke, yes, so first of all, I just would emphasize, it's going to be relatively modest. I mean, as we talked about our EBITDA margins, we're expecting something roughly flat, and that's a modest gross margin leverage, modest OpEx deleverage. I think the biggest thing, obviously, is the maturation of new stores. And so as you think about the fact that our new store growth now is shifting to the U.S., and we really are not going to have a whole lot of new openings, a low single-digit number in Canada, combining that with our efficiency initiatives there, you saw in the fourth quarter that even on a very low comp, we were able to drive contribution growth in Canada, essentially hold contribution margin flat there. We think we have an opportunity to really drive continued margin improvement in Canada even on relatively low growth.
Operator: Your next question comes from Mark Altschwager from Baird.
Mark Altschwager: I guess, first, with the comp trends you're seeing, can you give us a sense of the trends with the need-to-shop-thrift customer versus the want-to-shop-thrift customer? And then separately, just any color on regional trends within the U.S. And as we think about the growth outlook this year for comps and new stores, what you're most excited about?
Mark Walsh: Well, from a consumer perspective, as we talked about at ICR, Mark, we're really excited about what are 2 really important underlying trends for us, the continued growth of our younger customers and the continued growth of more affluent customers or trade down. That is a big win for us. It's a big win from a value perspective. And I think what you're seeing is they're drawn to what is a well-merchandised environment with a terrific price value proposition.
Jubran Tanious: Yes. And Mark, this is Jubran. On your question on geography, really no distinction. I mean, we see it across the country, a variety of different markets, different geographies. We see it across very mature stores, and we certainly see growth, transaction growth and sales growth in younger stores as well. So it's pretty encouraging, seeing broad-based growth.
Mark Altschwager: And maybe just a follow-up for Michael. Now that we've hit this inflection point in the business in terms of profitability, how should we think about the goal for annual margin leverage on a low to mid-single-digit comp, high single-digit revenue growth?
Michael Maher: Yes, Mark, I think as we said, so this year, expecting margins to be roughly flat, and that is an inflection in terms of the profit dollars. We do expect profit margin to follow. And as our new store pipeline continues to mature, we just have stores entering their third year now as we go forward and have stores filling out the fourth and fifth year of that pipeline and continuing to work toward that 20% business contribution, we expect not only a continued tailwind to profit dollars, but to profit margins toward our long-term algorithm goal of high teens. So we do expect further build in that as we go forward.
Operator: Your next question comes from Dylan Carden of William Blair.
Dylan Carden: Michael, just a point of clarification. So you gave the first quarter flat to slightly up EBITDA margin. Is that kind of the outlook for the balance of the year? It sounded like you said it would be linear? Or do you simply mean it would follow sort of similar seasonality? Can you just unpack some of those comments about what to expect as far as the cadence of them?
Michael Maher: Sure, Dylan. Let me just clarify, first of all, Q1 is flat to slightly up EBITDA dollars. I want to be clear about that, not margin. And just to give a little more color on that, we do expect our business contribution to grow. However, we've got some timing issues in Q1 this year relative to last year. We've got -- preopening expenses are more front-loaded because our new store openings are more even across the year. That's a good thing. We've been working toward that, but it does have that implication in terms of the timing of those preopening expenses. And we've got the earlier Easter, meaning we've got some store closures in Canada on Good Friday, which will negatively impact our comp there by a little less than 1 point for the quarter. And so those 2 things are going to weigh on our Q1 EBITDA dollars. After that, we expect the flow, not necessarily that it's flat every quarter, but that the overall cadence and shape of the earnings will resemble 2025. Does that make sense?
Dylan Carden: Yes. I appreciate it. And then if not price, can you just unpack kind of the drivers behind basket being up? I don't know if that sort of speaks to customer behavior or what type of customers are in the store, but that would be helpful.
Mark Walsh: Yes. Look, I think it's really about transactions in both countries. The U.S., the business and the comp was driven principally by transactions. Obviously, there's a mix of price and UPT in the basket composition. And in Canada, a lot of the stability was led by the increase in transactions as well. So really, really balanced and like the trend in both countries.
Dylan Carden: And then just to confirm, the stimulus that everyone is kind of anticipating here on the tax refund, that's not embedded in the expectations here? Are you seeing any kind of early signs that, that might be happening? Any comment there would be helpful.
Mark Walsh: It's not embedded in our expectations. We do historically see activity in our business related to the timing of government payments to consumers such as tax refunds, stimulus checks. And look, any time our customers have more money in their pocket, that's good for business. Momentum is strong. We think we'll get our fair share as that occurs.
Operator: Your next question comes from Bob Drbul of BTIG.
Robert Drbul: Just a couple of quick questions. On the new markets, can you talk a little bit about supply in the new markets or any surprises that you're seeing? And then I guess the other question that I have is largely around the plan for new stores. Have there been any sort of changes to, I guess, the backlog of the new store plan or the new store opening schedule?
Jubran Tanious: Bob, this is Jubran. I can take that and the guys can jump in with additional color. So in terms of the new markets, you're absolutely right. Mark referenced that in his opening comments. Really, the majority of our new stores, starting this year, in 2026, 20-plus openings are going to be in the U.S. Pretty excited about the mix. It's a nice mix of both infill and greenfield markets. So in total, we're talking about opening stores in 11 different states. Very excited about our foray into North Carolina and Tennessee. When we think about supply, the first thing to know, and we've said this on previous calls, is that we will not open a new store unless we feel good about that supply equation. And the cornerstone of that is the on-site donation. So these specific locations that we're looking forward to opening, we think they set up very well in terms of a robust on-site donation growth, which we expect to continue to grow for many, many years, just like we see in our mature stores. So that's the first thing to start with. In terms of the delivered supply, we have a number of different tools in our tool belt. We talk about GreenDrop, we talk about all the different ways in which you can collect supply, and we participate in all of them. So it's always market specific. We're always looking ahead. But in terms of any concerns around supply feeding these new stores with their OSD performance and then attractive cost-effective delivered supply to make up the balance, no concerns there. In terms of the second part of your question, backlog, not really. We continue to get really great traction in the tone and tenor of the conversations that we're having with landlords as they see thrift as part of their mix. I think Michael talked about this earlier where we've been working for a couple of years now to get those new store openings feathered across the quarters in a more balanced way, and we've made progress on that each and every year. We'll make more progress on that in 2026. So that's really the goal from an execution perspective is to get that kind of balanced out.
Operator: Your next question comes from Peter Keith of Piper Sandler.
Alexia Morgan: This is Alexia Morgan on for Peter Keith. Given the typical margin drag associated with new store openings, what gives you confidence in your ability to drive EBITDA margin expansion looking longer term over the coming years while keeping unit growth steady. Are there any specific efficiencies we should be considering that might offset that new store pressure?
Michael Maher: Yes. Thanks, Alexia. The biggest thing is the continued maturation of new stores. It's almost a math equation, right? As they continue to develop and grow profitability toward a mature store level, and as we fill out that pipeline and with stores entering their third, fourth and fifth years, we just start to get more offsetting tailwind, more momentum to counteract the impact of the 25 or so new stores that we'll open in any given year. And if you want sort of a near-term proof point of that, if you just look at Q4 and what we did in both countries, frankly, we grew EBITDA, and we actually held EBITDA margin on a business contribution level at least. And that was including in Canada on what was just a little bit above a flat comp. And so that just speaks to the fact that as the new stores continue to mature, that's starting to provide a meaningful tailwind to us as we go forward. By the way, that's not reflecting all kinds of other things we're working on in terms of the innovation agenda around, again, price value equation, cost efficiency and so on that we think can provide additional longer-term benefits.
Alexia Morgan: Okay. And then just one more on sales. So U.S. performance was really good. Could you elaborate on the specific drivers of that acceleration and then perhaps give more detail on what informs your Canada forecast going forward?
Mark Walsh: In the U.S., look, it's a lot about the secular trend continuing and terrific selection and value and an exceptional brick-and-mortar experience for thrifters. And I think the 8.8% comp is that evidence. The things that we're really excited about in the U.S. in terms of the momentum is, as I stated before, the continued increase in the younger customer and the higher household income customer and transactions and basket drove comps. And I think the other thing that's really exciting about the U.S. momentum is that our new stores are resonating, and we see a lot of momentum from that as well. Michael, do you want to handle the second half of that question?
Michael Maher: Yes. So Alexia, you asked about the assumptions behind our Canadian comp plan. So we're planning very conservatively for Canada, something in the flat to low single-digit comp level for the year. And that's pretty consistent with what we've seen both in the fourth quarter and thus far in the first quarter. I think it's a reflection of an economy that appears to have broadly stabilized, albeit at certainly a weaker level than what we see in the U.S. And we're planning our business accordingly. We're not assuming any material change in that in the near term.
Mark Walsh: But to add to Michael's comments about Canada, fourth quarter was another step forward. And I think it's indicative of our expectations around Canada moving forward with that increased segment profit growth in a modest comp environment and generating nice strong free cash flow.
Operator: Your next question comes from Owen Rickert of Northland Capital Markets.
Owen Rickert: We've seen a lot of commentary lately about consumers leaning pretty heavily into thrift for holiday gifting. I guess, based off what you saw in 4Q, strong quarter, obviously. But do you think that behavior is pretty sticky and could potentially carry over to other major holidays and seasonal moments maybe throughout the year? And then maybe secondly, anything you can just share on how holiday shopping patterns this year compared to prior years?
Mark Walsh: I'll answer the sticky question. I think overall, what we're seeing with thrift adoption and with our own loyalty database is a very low attrition rate. Once we sign people up and get them into our family, they love the experience, they love the value we're providing. So our attrition rates are exceptionally low. And I think that speaks volumes about the stickiness. On the Q-over-Q...
Michael Maher: Yes, Owen, I guess, I just think this is the second consecutive year that we've seen the strongest comp of the year in the fourth quarter for the U.S. So it's hard for us, obviously, to parse all the motivation behind that. But I do think it's consistent with that sort of broader consumer adoption and the acceptance of thrift, including for gifting. And I think we also see it in terms of sort of some of the more giftable categories in the hard goods that you might think about toys, for example, or jewelry continuing to outperform. So I certainly think it's consistent with that thesis.
Operator: Your next question comes from Jeremy Hamblin of Craig-Hallum Capital Group.
Jeremy Hamblin: I'll add my congratulations on the strong results and hitting that inflection point on profitability. I wanted to start actually on that point about EBITDA drag, which you called out roughly $10 million of hit to EBITDA from new store openings and kind of the impact of those first couple of years. As you're getting through the maturation of the '23 and '24 class of stores, can you give us a sense of what the EBITDA drag will look like in '26? And then as you start hitting, let's call, that tailwind effect that's going to happen as those stores get into years 4, 5 and beyond. Can you give us a sense for what that might be as a help to 2027?
Michael Maher: Jeremy, thanks. It's Michael. Yes, it's really not a drag anymore. As we've said now for a while, we expected by '26 that drag to become a tailwind, and it is. It's a modest tailwind this year, because we really only started opening stores in earnest just over 2 years ago, it was sort of second half of 2024, not even really 2 years ago. And so we have these stores now just beginning to enter their third years and that is allowing that net year-over-year impact to be slightly positive this year relative to 2025. And the size of that tailwind, we expect to continue to grow as those stores enter years 4 and 5 and so on. So not ready to guide with any specificity for 2027, other than just to say, as we have for a while, over the longer term, we do expect both EBITDA dollars and margin to grow as the new stores, as that pipeline continues to fill up. And our long-term target remains an EBITDA margin in the high teens.
Jeremy Hamblin: Great. And then just my other question. You got some noise related to having a 53rd week in '25. As we think about Q4 in '26, can you just help us understand a little bit of what you think the implications might be on SG&A in particular in Q4 year-over-year and then kind of salary, wages and benefits.
Michael Maher: Yes. Well, I guess maybe the way to think about that, Jeremy, is that the fourth quarter impact of giving back that 53rd week, obviously, it's especially pronounced there, 6 or 7 points, give or take, in the fourth quarter. But we also lose that extra week of salary and benefits and cost of merchandise sold in SG&A, and that's why there really isn't much, if any, impact on the bottom line. So it just roughly neutralizes.
Operator: Your next question comes from Anthony Chukumba of Loop Capital Markets.
Anthony Chukumba: So you guys have talked a lot about the fact you have very high brand recognition in Canada. I was just wondering, I guess, what's that comparable number? I want to say it's like over 90%. What's that comparable number in the U.S.? And then how has that changed over like the last year?
Mark Walsh: Look, I think every U.S. market is different. As we've talked about, Anthony, the supply and demand comes from within a 10- to 12-mile radius. I think in our more mature stores, we've got very strong but unquantified brand recognition. And in new markets, we're gaining rapidly as we see in the performance of those new stores.
Anthony Chukumba: Got it. And then just one last quick one. Have you seen any shifts in terms of source of supply like between in-store versus GreenDrop versus delivered by the nonprofit, anything notable there that you've seen?
Jubran Tanious: Anthony, it's Jubran. Short answer is, no, we haven't. I mean the one thing that we have seen is, of all the different sources of supply, we like the on-site donation for its quality and its cost, and we like our execution on that. We're seeing, across all 3 countries and across the regions within those countries, good robust on-site donation growth. In terms of the composition of the donation or the nature of the supply, no, not really seeing any changes there. Just that we kind of make our own weather when it comes to growing on-site donations. It's totally within our control. We expect it to grow again this year in 2026 and for years to come.
Operator: There are no further questions at this time. I would hand over the call to Mark Walsh for closing remarks. Please go ahead.
Mark Walsh: Just want to say thank you to everyone for their time and their interest today in Savers Value Village, and we look forward to speaking to you after our next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.